Operator: Welcome to the MBIA Inc. Third Quarter 2024 Financial Results Conference Call. I would now like to turn the call over to Greg Diamond, Managing Director of Investor and Media Relations at MBIA. Please go ahead, sir.
Greg Diamond: Thank you, Ashley. Welcome to MBIA's conference call for our third quarter 2024 financial results. After the market closed yesterday, we issued and posted several items on our websites, including our financial results, 10-Q, quarterly operating supplement and statutory financial statements for both MBIA Insurance Corporation and National Public Finance Guarantee Corporation. We also posted updates to the listings of our insurance companies insured portfolios. Regarding today's call, please note that anything said on the call is qualified by the information provided in the company's 10-K, 10-Qs and other SEC filings as our company's definitive disclosures are incorporated in those documents. We urge investors to read our 10-K and 10-Qs and they contain our most current disclosures about the company and its financial and operating results. Those documents also contain information that may not be addressed on today's call. Definitions and reconciliations of the non-GAAP terms included in our remarks today are also included in our 10-K and 10-Qs as well as our financial results report and our quarterly operating supplement. The recorded replay of today's call will become available on the MBIA website approximately two hours after the end of the call. Now here is our safe harbor disclosure statement. Our remarks on today's conference call may contain forward-looking statements. Important factors such as general market conditions and the competitive environment, could cause our actual results to differ materially from the projected results referenced in our forward-looking statements. Risk factors are detailed in our 10-K and 10-Qs, which are available on our website at mbia.com. Company cautions not to place undue reliance on any such forward-looking statements. The company also undertakes no obligation to publicly correct or update any forward-looking statement if it later becomes aware that such statement is no longer accurate. For our call today, Bill Fallon and Joe Schachinger, will provide introductory comments and then a question-and-answer session will follow. Now here is Bill Fallon.
Bill Fallon: Thanks, Greg. Good morning, everyone. Thank you for being with us today. For our third quarter 2024 financial results, our revenues and expenses both improved compared with last year's third quarter, which yielded a lower net loss than last year's third quarter. Revenues were higher largely due to lower losses related to variable interest entities associated with MBIA Insurance Corp. and expenses were lower largely due to lower loss and loss adjustment expense associated with National PREPA exposure. Regarding PREPA, mediation has been extended through January 31 of next year. In the meanwhile, the parties and mediation are waiting for the decision from the First Circuit Court of Appeals as to whether they will rehear arguments regarding their ruling earlier this year that determine PREPA bondholders' rights included a lean on PREPA's net revenues. Given the uncertainty associated with the possible outcomes for National's PREPA bankruptcy claim in excess of $800 million we expect that substantially reduced uncertainty regarding the PREPA outcome will likely be needed before we can restart the process to sell the company. Regarding the balance of National's Insured portfolio those credits have continued to perform generally consistent with our expectations. The gross par amount outstanding for National's insured portfolio has declined by approximately $2.5 billion from year-end 2023 and to about $26 billion at the end of the third quarter of this year. National's leverage ratio of gross part of statutory capital was 26:1 at the end of the third quarter of 2024. As of September 30, 2024, National had total claims paying resources of $1.6 billion in statutory capital and surplus of $1 billion. Now Joe will provide additional comments about our financial results.
Joe Schachinger: Thank you, Bill, and good morning, all. I will begin with a review of our third quarter 2024 GAAP and non-GAAP results and then provide an overview of our statutory results. The company reported a consolidated GAAP net loss of $56 million or a negative $1.18 per share for the third quarter of 2024, compared to a consolidated GAAP net loss of $185 million or a negative $3.94 per share for the third quarter of 2023. The lower GAAP net loss this quarter was largely driven by two items. First is lower loss in LAE at National. In the third quarter of 2023, higher loss in LAE was primarily the result of updating our range of recoveries for PREPA and under the then amended PSA. In the current quarter, loss in LAE was primarily driven by accretion of our reserves and recoveries. And the second item is lower losses related to consolidated VIEs at MBI Insurance Corp. In the third quarter of 2023, VIE losses primarily related to the early redemption of VIE liabilities insured by MBI Insurance Corp and the deconsolidation of a VIE with no comparable activity in the current quarter. The company's adjusted net loss, a non-GAAP measure, was $174,000 or essentially $0.00 per share for the third quarter of 2024, compared with an adjusted net loss of $138 million or negative $2.92 per share for the third quarter of 2023. Favorable change was primarily due to the lower loss in LAE at National in the current quarter related to PREPA. During the first nine months of this year, MBIA Inc.'s book value per share decreased $6.63 to a negative $39.19 per share as of September 30, 2024, versus a negative $32.56 per share as of December 31, 2023. This decrease was primarily due to our $396 million consolidated net loss for the 2024 year-to-date period. Included in MBIA Inc.'s book value as of September 30, 2024, is a negative $48.80 per share of MBI Insurance Corp. book value versus a negative $44.91 per share as of December 31, 2023. I will now spend a few minutes on our corporate segment balance sheet. The corporate segment, which primarily comprises the activities of the holding company, MBIA Inc., had total assets of approximately $646 million as of September 30, 2024. Within this total are the following material assets. Unencumbered cash and liquid assets held by MBIA Inc. totaled $326 million, compared with $411 million as of December 31, 2023. The decrease was largely due to spending approximately $78 million in the first and second quarters of 2024 on retiring GFL denominated -- sorry, GFL euro-denominated medium-term note liabilities and purchasing MBIA Inc. senior notes before their maturities. As noted in prior quarters, both the medium-term notes and senior notes were purchased at prices accretive to equity. In addition to the unencumbered cash and liquid assets, the corporate segment's assets included approximately $211 million of assets at market value pledged to guaranteed investment agreement contract holders, which fully collateralize those contracts. Now turning to the insurance company's statutory results. National reported statutory net income of $19 million for the third quarter of 2024, compared to a statutory net loss of $133 million for the third quarter of 2023. The favorable variance was primarily driven by the lower loss in LAE related to its PREPA exposure. National statutory capital as of September 30, 2024, was $1 billion, down $117 million, compared with December 31, 2023, largely due to its statutory net loss for the 2024 year-to-date period of $123 million. Claims paying resources were $1.6 billion, down $95 million from December 31, 2023. As of September 30, 2024, National had gross par outstanding of $26 billion, which is down about $2.5 billion from year-end 2023. This decrease was largely due to regular amortization of National's insured portfolio. Now I'll turn to MBIA Insurance Corp. MBIA Insurance Corp. reported statutory net income of $2 million for the third quarter of 2024, compared to a statutory net loss of $14 million for the third quarter of 2023. A small loss in LAE benefit this quarter helped drive net income. An increase in loss reserves on RMBS and ABS CDO exposures, primarily drove the net loss in the third quarter of 2023. As of September 30, 2024, the statutory capital of MBI Insurance Corp. was $87 million down from $152 million at year-end 2023, primarily due to its net loss for the 2024 year-to-date period of $68 million. Claims paying resources totaled $358 million at September 30, 2024, compared to $504 million at year-end 2023. MBIA Insurance Corp.'s insured gross par outstanding was $2.5 billion as of September 30, 2024, down about 13% from year-end 2023. The decrease in claims paying resources and gross par outstanding was partially driven by our proactive derisking of exposures for which we held reserves and we're paying claims. And now we will turn the call over to the operator to begin the question-and-answer session.
Operator: Certainly. [Operator Instructions] We will take our first question from Tommy McJoynt with KBW. Please go ahead.
Tommy McJoynt: Hey, good morning, guys. Thanks for taking my question. So with $1 billion of capital at National, how much of that do you consider excess? And are you seeking approval to release any of that capital? It was around this time last year that National got approval for the substantial capital release?
Bill Fallon: Yes. Tommy, thank you for the question. Given that we don't focus on ratings anymore, we don't necessarily do a calculation in terms of what the excess capital is the way perhaps other companies do. But what we do focus on, as you referred to is trying to get extraordinary dividends when it's appropriate, which we did last year at this time. Now we do have the annual as of right dividend that will be paid before the end of the year. But I think at this point, given the extraordinary dividend last year, we want to make sure that there's further progress on Puerto Rico before we engage in any discussions with the department.
Tommy Mcjoynt: Okay, got it. And if I look at the disclosures, so National paid a gross claim on July 1 of $122 million on PREPA. And it looks like the national insurance loss recoverable, increased by $57 million. So that looks like that equates to you guys assuming a 47% recovery on that claim paid. Is that the right math to think about? Or are there any other inputs that I need to consider?
Bill Fallon: Yes. Well, we don't comment exactly on what the number is, the approach that you're taking is very logical and reasonable.
Tommy Mcjoynt: Okay. Thank you.
Operator: Thank you. We will take our next question from Jordan Hymowitz with Philadelphia Financial. Please go ahead.
Jordan Hymowitz: Hey guys. Can you hear me, okay?
Bill Fallon: We can hear you fine, Jordan.
Jordon Hymowitz: Great. Thank you. You commented that you're not looking to reengage the process of selling the company, which you've tried a couple of times until Puerto Rico was greater clarity. I guess my question is why? I mean there's different ranges of Puerto Rican outcomes that can be evaluated in different back-end payments depending on resolutions. I mean there's a huge -- there's obviously, as competitor A, continues to go up in price, there's more value to their stock, you're losing value there, why not engage now with some sort of structure that if the resolution is more favorable, there's a greater back-end payment? I mean it just seems like you've got a very valuable franchise the market has the competitors either private or some -- the one that's public has the capital, why not engage now?
Bill Fallon: The approach you described is one that we have considered and is a real possibility. The reality is the feedback that we've received to-date, which suggests that it would not be beneficial for our shareholders, but that doesn't mean that things don't change at any point in time. So it is always a possibility in terms of the approach you described.
Jordon Hymowitz: Okay. I mean it's tough to know once you get to the negotiated room as to what, but it does seem because it's most likely to be a tough deal, the ratios are unbelievably powerful and you should have some leverage with what the outcome is. And is the shareholder now for most of the past three or four years, it just seems like a great opportunity to see if there's an interest in exploring that because we're getting closer. And with the Governor of Portico being elected, who wants to resolve a lot of things, it's more likely that something could come to fruition and then it'd be a win-win for everybody.
Bill Fallon: Jordan, we agree. We think the sooner this can all be resolved it will be the better -- will be better for our shareholders. And so that's what we're focused on as well.
Jordon Hymowitz: Okay. Thanks for you for at least considering it. And thank you for taking my questions.
Bill Fallon: Thank you.
Operator: Thank you. We will take our next question from John Staley with Staley Capital Advisors. Please go ahead.
John Staley: Thank you. Bill, sort of a follow-up on the last comment that was made with the election of Trump, given the fiasco Madison Square Gardens with the Rogue comedian, and the presence not widely appreciated by general public, but certainly by politicians. But given the presence within the Puerto Rican government of significant Republican positions. I forgot not a President or somebody very high up. But there's more than one major Republican involved in the Puerto Rican administration and it seems to me that Trump, given what happened in Madison Square Garden would like to get this situation resolved. They held a lot more than Kamala Harris was ever cared about. But I'm curious if you see a path to Trump might just dismiss the oversight board and let you get this resolved with the Puerto Rican government and the adversary parties in this to get the Puerto Rican people in a position where they can get back to financing things and getting things done. I think this is a great message that might be heard favorably by Trump as a very positive move for the Puerto Rican people. I'm curious what is your reaction to, whether you see that avenue or not?
Bill Fallon: John, again, thank you for your call and your interest. Given the events of this week with the election and everything you just described, we have been looking for a catalyst to help resolve this now for, as you know, many years. So if in fact, Trump's approach this would be 1 that would move us towards that end, we would be very much supportive of that approach. So I think it's going to take a little bit of time. Obviously, he was just elected this week. Same thing with the new governor of Puerto Rico. We have heard some early comments very much along the lines that you've been describing. My guess is over the next few weeks and into January when he actually takes office, we may get a better sense of whether this really is a catalyst to resolving this much quicker than perhaps the current path that we're on, which, again, we think would be very much appreciated and would be good for our shareholders.
John Staley: And that governor you're talking about isn't she a Republican?
Bill Fallon: The answer is yes, you may -- it's slightly different, but the answer -- the short answer is yes.
John Staley: Thank you. Thank you very much. I think it's a very positive development in terms of getting this resolved. I mean keeping this with the Oversight Board, judges and lawyers is just nuts.
Bill Fallon: It has been a very long process. We agree with you.
John Staley: Hey Men. All right, Thank you.
Operator: Thank you. [Operator Instructions] We will take our next question from Carlos Arto with Private Investor. Please go ahead.
Unidentified Analyst: Hi, good afternoon from London. Thanks again for the December dividend and also for the time the summer went through different options. I have a couple of questions regarding our [Indiscernible] with Golden Tree in Cora and Azure. My understanding is that the COAP was extended until March 2025, is that correct? Is that the maturity at the moment?
Bill Fallon: I'm sorry, Carlos, could you repeat the question? We couldn't quite hear you here.
Unidentified Analyst: Yes. The court, yes, the COAP with Golden Tree in Cora and Azure. What is suspended in August until March 2025. Is this at the moment when it expires?
Greg Diamond: What do you -- what is -- something about Golden Tree and exploration?
Unidentified Analyst: Yes, COAP. Yes, they're going to a COAP, cooperation agreement, we call them tress in Cora and Azure. And my understanding it was suspended in August until March 2025, is this -- at the moment.
Bill Fallon: Yes, we are part of a cooperation. Yes, Carlos, we are part of our cooperation agreement with the other bondholders that was extended into next year. That's correct. That's correct.
Unidentified Analyst: Until March?
Bill Fallon: Correct.
Unidentified Analyst: Perfect. And could we walk away from that COAP before March 2025, if someone offer better terms? Or are we tied to the COAP?
Bill Fallon: The question is, are we tied...
Greg Diamond: Walk away, we have the ability to walk away?
Unidentified Analyst: Yes, tend to do walk away or are we obliged to stay in the COAP?
Bill Fallon: At this point, we've agreed to work together with the other bondholders part of that agreement. As with all these agreements, I suppose you could come up with a scenario where something were to change that, but that is the approach that we're taking. We are in agreement with them. We're working with them.
Unidentified Analyst: And we cannot sell our exposure until March, then I assume that we have to stick to the prep exposure until March or can we sell it to third-parties?
Bill Fallon: We always have the right to sell our exposure we saw the portion of our prep exposure years ago.
Unidentified Analyst: Yes, I remember yes. So there is nothing preventing us from finding a value of the exposure?
Bill Fallon: I believe that's correct, yes.
Unidentified Analyst: Okay. Perfect. And since our exposure is very strategically important to meet certain set of other threshold. so basically the COAP, you know, only our list of practices is 50% mark. If we are in, what are we getting in exchange for from the COAP in return for our support?
Greg Diamond: Are we getting for COAP group in exchange for.
Unidentified Analyst: Yes. Are we just joining for free? Or do we get any kind of advantage [Multiple Speakers] that we have?
Bill Fallon: The benefit is we have the benefit of large numbers in terms of the dollar amount or the portion of the debt that is held by that group.
Unidentified Analyst: Yes, I mean, Just guessing that our percentage is very strategically important, because of the percentages of the COAP group and of the other groups, we play a key role there. And then the last question is, how much more for any other COAP members present in buying our exposure or buying ourselves, because at the moment we have $200 million market costs and it would be relatively easy for them to buy the whole company and litigate.
Bill Fallon: I'm sorry, could you repeat the question?
Unidentified Analyst: Yes. How do you express an interest in buying our exposure?
Bill Fallon: No. There's been very little trading of the bonds and the interest in buying claims has diminished significantly over the last few years.
Unidentified Analyst: Yeah, Well, I mean, my suggestion, of course, I discussed this with Greg back in July, you know, but my suggestion is that we should not expand this cooperation beyond March, unless we get something in return, because I think that our definition of the strategy is in terms of, you know, the balance of power between the current COAP, it's in color, golden tree, and azure and the group that is led by Black folks. So, if this goes beyond more, I would take a different approach? That's my view on this.
Bill Fallon: Okay. We appreciate that. We'll take that into consideration.
Unidentified Analyst: Okay. Thank you
Bill Fallon: Thank you.
Operator: Thank you. We will take our next question from -- oh, we do have a follow-up from Jordan Hymowitz with Philadelphia Financial. Please go ahead.
Jordan Hymowitz: Hi, a follow-up to the gentleman's question right after was absolute about the new governor Gonzalez. I mean, she put out a statement, and "I will begin looking for a second operator for Luma, so that we can resolve the issues with the electrical system. This the second operator for Luma necessitate a resolution of PREPA? And does that mean she might involve herself more in doing this so we can get cheaper power to the island?
Bill Fallon: Well, with regard to the first that -- it doesn't mean that PREPA has to be restructured that, that issue has to be resolved for them to deal with operating issues, which is what Luma effectively is. Your guess is as good as ours, whether or not that statement indicates that she wants to get more involved in PREPA, not only in the operations of it, but also in the restructuring issues.
Jordon Hymowitz: Let me phrase the question in a different way. And I could be a little off and I apologize if I am, but there's the lack of resolution of PREPA in any way impede the construction or improvement of the new electrical power plants in Puerto Rico? Or is it just a financial issue?
Bill Fallon: We would suggest that they are tied together. There are certain things that can be done. Obviously, they need to operate PREPA in the absence of a resolution, but I think it's a reasonable conclusion that resolving the restructuring or the -- effectively, the bankruptcy would help facilitate the operational aspects of PREPA.
Jordan Hymowitz: Not to mention, save a tremendous amount of money that's only being paid to lawyers and mediators instead of the working class Puerto Rican who could benefit from lower energy costs, but that's a different political comment?
Bill Fallon: I think everyone would agree with your statement, however.
Jordan Hymowitz: Thank you. I appreciate you taking my question. I would love to have a follow-up call.
Jordan Hymowitz: Okay, thank you.
Operator: Thank you. And at this time, I'm showing no further questions. I'd like to turn the floor over to management for any additional or closing remarks.
Greg Diamond: Thank you, Ashley, and thanks to everyone listening to the call today. Please contact us directly if you have additional questions. We also recommend that you visit our website at mbia.com for additional information about our company. Thank you for your interest in MBIA. Good day, and goodbye.
Operator: Thank you. This does conclude today's program. Thank you for your participation. You may disconnect at any time.